Operator: Good afternoon and welcome to Skyworks Solutions First Quarter Fiscal Year Earnings Call. This call is being recorded. At this time I will turn the call over to Raji Gill, Vice President of Investor Relations for Skyworks. Mr. Gill, please go ahead.
Raji Gill : Thank you, operator. Good afternoon, everyone and welcome to Skyworks’ first fiscal quarter 2025 conference call. With me today for our prepared remarks is Liam Griffin, our Chief Executive Officer and President, and Kris Sennesael, Chief Financial Officer for Skyworks. Following the conclusion of the prepared remarks, Kris will be available for Q&A. This call is being broadcast over the web and can be accessed from the Investor Relations section of the company’s website at skyworksinc.com. In addition, the company’s prepared remarks will be made available on our website promptly after the conclusion during the call. Before we begin, I would like to remind everyone that our discussion will include statements relating to future results and expectations that are, or may be, considered forward-looking statements. Please refer to our earnings press release and recent SEC filings, including our Annual Report on Form 10-K, for information on certain risks that could cause actual outcomes to differ materially and adversely from any forward-looking statements made today. Additionally, the results and guidance we will discuss include non-GAAP financial measures, consistent with our past practice. Please refer to our press release within the investor relations section of our company website for a complete reconciliation to GAAP. With that, I’ll turn the call over to Liam.
Liam Griffin: Thanks, Raji, and welcome, everyone. Before we get into the details of the results, I want to address the succession planning we announced today. After an incredible 20-plus years at Skyworks, with the last nine as President and CEO, I will be stepping down. Skyworks has chosen Philip Brace, as our next President and CEO. He will join the Company on February 17, at which point I will shift to an advisory role for a few months to help ensure a smooth transition. Today we also announced that Christine King, who has been our Skyworks’ Lead Independent Director, has been appointed Chairman of the Board. She is an excellent choice. Phil’s appointment follows a robust succession planning process by the Skyworks Board. Phil is an accomplished technology executive who has served as President and CEO of Sierra Wireless from 2021 to 2023. He currently serves on the Board of Directors of Blackberry, Lantronix and Inseego. He brings a deep knowledge of the technology industry and extensive experience in scaling and leading successful businesses. I want to offer my sincerest congratulations to Phil on his appointment and am excited for you to meet him. I look forward to watching Skyworks’ business prosper under his leadership through continued innovation, ingenuity and hard work. Let’s now move into a discussion of Skyworks’ first fiscal quarter of 2025. Skyworks began the new fiscal year with solid results. We posted revenue of $1.068 billion. We delivered earnings per share of $1.60, and generated free cash flow of $338 million. Revenue, gross margin and EPS met or exceeded the mid-point of our guidance. In Mobile, our revenue grew 6% sequentially, as we successfully supported multiple product launches across our top mobile customers. The global adoption of generative AI on smartphones is still in its nascent stage. We anticipate this to be a multiyear trend that will catalyze smartphone upgrades and increase the complexity and requirements for RF solutions. In Broad Markets, we have experienced modest growth for four consecutive quarters. We anticipate further growth as demand signals and backlog improve. In certain segments, supply and demand dynamics are in equilibrium, and channel inventories have normalized. Meanwhile, industrial and infrastructure remain subdued due to persistent inventory challenges. Overall, we are encouraged by the recent momentum in Broad Markets and are energized about new product cycles in automotive electrification, edge IoT and AI data center, fueling long-term growth. In edge IoT, we are observing higher levels of intelligence and combined with more nodes being added to the edge of the network, driving higher levels of RF complexity. Artificial intelligence and machine learning increases the range of functionality, running models like voice and computer vision. RF connectivity is the conduit for secure, robust and lower power AI applications. Moreover, the adoption of Wi-Fi 6e and 7 systems, by customers is contributing to the improvement in demand. These systems, characterized by enhanced complexity and utilization of additional bands, enable transmission of higher value content. We are currently in the emerging stages of a multi-year upgrade cycle, with Wi-Fi 7 shipments experiencing a ramp-up. We are seeing growth in wireless gaming, wireless home audio and wireless headsets where customers are adopting Skyworks’ connectivity and audio technology. In Automotive, we returned to year-over-year growth, despite a soft demand environment, as design wins in the connected car, onboard charging and infotainment are gradually converting into revenue. Specifically, we expect our RF content per vehicle to grow, driven by, 5G cellular, Wi-Fi, Bluetooth and V2X Lastly, the industrial segments remain a headwind as we continue to undership demand. Turning to our quarterly business highlights. We secured 5G content for premium Android smartphones including, Samsung Galaxy, Xiaomi, Asus, and several others. We supported Gemtek’s launch of the first AI router with voice-enabled AI-powered healthcare service. We enabled Asus’s award-winning quad-band Wi-Fi 7 gaming routers and expanded our design win pipeline in automotive with cellular connectivity and power management solutions. With that, I will turn the call over to Kris for a discussion of last quarter’s performance and our outlook for Q2 of fiscal ‘25.
Kris Sennesael : Thanks Liam. Skyworks’ revenue for the first fiscal quarter of 2025 was $1.068 billion, slightly above the midpoint of our outlook. Mobile revenue was 67% of total revenue and increased 6% sequentially, as we successfully supported multiple product launches. Broad Markets was up slightly sequentially and returned to year-over-year growth at 2%. Q1 fiscal ‘25 marked the fourth consecutive quarter of modest sequential growth since the Q1 fiscal ‘24 bottom, despite a muted demand environment and ongoing inventory digestion across selective end-markets. Gross profit was $497 million, with gross margin at 46.5%, in-line with expectations. Also, during Q1, we further decreased our internal inventory slightly below $700 million, resulting in eight consecutive quarters of reductions. Operating expenses were $212 million, reflecting our strategic investments in our technology and product roadmaps. We delivered $285 million of operating income, translating into an operating margin of 27%. We generated $9 million of other income, and our effective tax rate was 12.2%, driving net income of $258 million and diluted earnings per share of $1.60, $0.03 above our guidance. For the first quarter of fiscal 2025, we demonstrated robust cash generation, with operating cash flow of $377 million, capital expenditures of $39 million, and a free cash flow of $338 million, representing a 32% free cash flow margin. During fiscal Q1, we distributed $112 million in dividends. Our cash and investment balance increased to approximately $1.75 billion, while we maintain a debt level of $1 billion, providing us with ample financial flexibility. Now, let’s move on to our outlook for Q2 of fiscal 2025. We anticipate revenue of $935 million to $965 million. We expect our mobile business to decline mid-to-high teens sequentially, in-line with historical seasonality. In broad markets, we anticipate additional sequential growth, and a further improvement in year-over-year growth. We are seeing positive momentum in booking trends, backlog and sell through patterns across Broad Markets. However, inventory headwinds remain acute in industrial and infrastructure. Gross margin is projected between 45.5% and 46.0%, which is seasonally adjusted for lower sales volume. We anticipate operating expenses in the range of $220 million to $228 million, utilizing our robust cash flow generation to invest in technology and product roadmaps. The sequential increase is mostly driven by a reset of the social charges at the beginning of the calendar year, as well as an increase in R&D project expenses. Below the line, we anticipate $6 million in other income, an effective tax rate of 12% to 12.5%, and a diluted share count of approximately 158.5 million shares. Accordingly, at the mid-point of the revenue range of $950 million, we intend to deliver diluted earnings per share of $1.20. Finally, our board of directors has approved a new $2 billion stock repurchase program as part of our disciplined capital allocation strategy. Before moving into Q&A, I want to briefly reflect on our business and address our strategic partnership with our largest customer. Over the past 25 years, we have built a strong technology company, a leader in RF connectivity for mobile solutions, and expanded those RF capabilities with analog and mixed signal expertise, in our growing broad markets business. And over the last 18 years, we have benefitted from a truly collaborative partnership with our largest customer, who has constantly pushed us to develop innovative, high performance and highly integrated RF solutions. We have partnered with that customer since the launch of their first phone, which has resulted in significant content and revenue growth over the years. However, the last couple years have been challenging as the competitive landscape has intensified. As it relates to the upcoming phone cycle, expected to be launched in the fall of 2025, the Skyworks team developed a suite of high-performance RF solutions. Despite our rich product offering, we did not get the result that we targeted. Although we were able to secure multiple sockets, including several highly integrated RF modules, our content position is expected to be down 20% to 25%. This decline will start impacting our revenue in the fourth quarter of fiscal ‘25, and throughout fiscal ‘26. While we are disappointed with this outcome, we remain steadfast in our commitment to invest and innovate around our technology roadmaps. We have already started the development of a new suite of solutions for the next generation phone, with an expanding set of products, and addressing more opportunities than ever before. In addition, we will continue to pursue growth opportunities with our other mobile customers, although on a selective basis, focusing on those segments of the market that demand high performance RF. And, we will continue to drive our diversification strategy, supported by multiple secular growth trends in broad markets. We expect those opportunities to partially offset the revenue decline at the large customer in fiscal ‘26 and position us for growth in fiscal ‘27. Now let me hand it back to Liam for some final remarks.
Liam Griffin : To wrap it up, I would like to thank all of our Skyworks’ employees and stakeholders for their support during the last 25 years, it has truly been a privilege and the highlight of my career to lead this company. I strongly believe the Skyworks team, with support of our board of directors, and under new leadership, will execute on the strategic path of profitable growth. I will turn it over to Kris now, who will be taking Q&A this quarter.
Kris Sennesael: Operator, let’s open the line for questions.
Operator: Thank you. [Operator Instructions] Now first question coming from the line of Edward Snyder with Charter Equity Research. Your line is now open.
Edward Snyder : Thanks very much. First off, Liam, I guess, congratulations on retiring. I am going to miss you. You did a phenomenal job. Always appreciate how frank and straightforward you've been on everything, and I think you did a bang-up job. So I'd see you go. Hope things are better when you're off on the sunset or whatever you're going to want to be doing. As for Apple or your largest customer, I know it sounds like the new competition is in one of your largest modules. And I know you guys are making a big push towards that in the fall. And there is a whole another round of this coming up in the year out. First off, I'd like to get a feel for if you think it is a target you can hit given how -- which that part is in BAW filters. And secondarily, you guys are probably one of the most favored suppliers to your largest customer. There's a lot of other parts on this version, and what’s going to be the next couple of versions that will change over the years. Maybe you could help characterize what the content opportunity is in other areas. I don't necessarily involve a lot of BAW filters. But maybe more on the WiFi side of the section, the ultra-high band that sort of thing. So maybe you can give us an idea of what you think the landscape looks like in the next couple of years.
Kris Sennesael : Yes, this is Kris here. And so thanks for your question and your remarks. As you know, I can't really go into too much specifics, as it relates to our largest customer and go into specifics on specific sockets or certain design wins. But having said that, right, I think we have a long partnership relation with that customer. We developed really high performance RF solutions. And unfortunately, we didn't really get what we targeted. And a part of that is most of the sockets that we targeted, we actually were able to keep but instead of being single sourced on one particular socket, it's being dual sourced. And that's a little bit of a setback. Having said that, we are already working on the next generation phone that is expected to be launched in the fall of 2026. We actually have been working for many months on that. And as we said in the prepared remarks, we are expanding our reach. We are developing more parts than ever before, targeting more opportunities than ever before. And we collaborate very strongly with our customer on that. And we want to continue to support our customer in their baseband transition, and that's what we need to do.
Edward Snyder : Okay. If I could, I'm sorry for the interruption. Yes, so you are sharing a socket that you may not have shared last year. Is that what you're saying?
Kris Sennesael : That is correct.
Edward Snyder : Okay. So actually, then you are competitive in that. I thought -- I'm sorry, the way we be characterizing it and I thought you didn't qualify at all. So actually, you are competitive for that socket, and now it's going into be horse trading from here on now, right? You didn't lose the whole thing?
Kris Sennesael : That is absolutely correct. Again, we have been investing for many years in our technology and product road maps. We've been investing in our filter technology, both [PC SAW] (ph) and BAW. And as I said many times before, I do believe we are at the gold standard. Our BAW filters are as good as anybody else. Now you still need to develop a product and get to the best performance. And in many cases, we do get to the best performance, but as you indicated as well, the competition has intensified. It used to be -- there are on or about five major RF players and we used to swim in our own swim lanes. But more recently -- including Skyworks, right? We are reaching out and we cross swimlines. And so the competition has intensified, but we’re stepping up. We are developing more products. We keep expanding our technology and improving our technology. And the customer is asking, the customers are demanding and asking for better and higher RF products, in part because, as you all know, they are bringing AI capabilities to the phone, which is increasing the technological burden inside the phone. They're asking for smaller footprint, lower power consumption, lower latency and higher throughput and overall higher performance and we are stepping up. We are -- we demonstrated that our technology and products can do it. Unfortunately, right, we didn't get a single source, we were dual sourced on one important part.
Edward Snyder: Great. Thanks Kris.
Operator: Thank you. And our next question coming from the line of Christopher Rolland with Susquehanna. Your line is now open.
Christopher Rolland : Hi, thanks for the question. And congrats to Liam and Phil. Yes, just a little more clarity on the down [‘20 to ‘25] (ph). So it sounds like you're sharing a socket instead of sole sourced. I'm assuming that would be the rumor. So you've been hearing about diversity receive. I don't know if that would fully account for the '20 to '25. And the other question is the lost sockets to Qualcomm. Would you take those back? And then, sorry, the last question here is, is this for all phones coming in the fall? Or is this just for the ones with the new modem. Thank you.
Kris Sennesael : Yes. So the content loss is really a result of the share loss. That accounts for all of it because we actually, in certain sockets, we have been able to win back slots that we lost that we talked about nine months ago. So we've been executing well there. We've been gaining content. But unfortunately, on an existing slot, we lost share as we move from single source to dual source. And so I assume that answers your question.
Christopher Rolland : Yes, I did, except just the follow-ups to that or any update on the Qualcomm socket and getting that back that you lost? And then is this just for all the phones or just the phones with the new modem?
Kris Sennesael : Right. So again, I can't really go into the specifics, but we've indicated that it is unlikely or impossible that we win back those sockets, as it relates to the Qualcomm modem, but we've done well as it relates to the internal model. And maybe last point, we -- so we indicated a range of 20% to 25%. The reason of that is because we are dual sourced. And so the final results will still depend on the mix. And the mix, of course, you have to think about new product versus legacy product and also the mix within the new product between different basebands, as well as within a certain baseband, the mix between certain SKUs that are lined up. And so a lot of it will depend on where the demand will materialize and how that all plays out.
Operator: Thank you. Our next question coming from the line of Karl Ackerman with BNP Paribas. Your line is open.
Karl Ackerman : Yes, thank you gentlemen. I wanted to -- I was hoping you could clarify whether you're able to repurpose some of the RF designs that you've spent so much time on within R&D for some of these new content wins within 5G Android and Samsung. And then secondarily, while the content in iOS devices, at least in the handsets is not what you targeted, I was hoping you could discuss your dollar content opportunities you see across the consumer electronic markets such as watches, tablets and PCs over the coming quarters? Thank you.
Kris Sennesael : Right. So I mean, we developed technology for our mobile business that of course, can be deployed at a large customer and within Android with Google, Samsung and China and some of that actually does spill over into our broad markets as well. So that is the technology building blocks. As it relates to the product development for certain products for our large customer, obviously, they are proprietary for our large customer. And there, again most of the developments we did are resulting in revenue, unfortunately, not in a single source position but in a dual-source position. And typically of course, what we learn from the large customer, the technology and the expertise that we learn, we can leverage that and develop in the Android market. The Android market, as you probably know, and we've talked about that before, we are going to remain selective. We focus on the high-end of the market where the demand high-performance RF. And we believe that we are well-positioned to grow that part of the business going forward. As it relates your second part of the question, as you probably know, we have substantial revenue with a large customer, roughly 85% of that revenue is related to the phone and approximately 15% of that is related to all their other products that they bring to market, the watch, the tablet, the PC, the home port, the vision product and so on. And in that part of the business, we continue to do well in terms of design wins. And we do expect this year and next year, that part of the business will continue to grow.
Karl Ackerman: Very helpful. Thank you.
Operator: Thank you. And our next question coming from the line Toshiya Hari with Goldman Sachs. Your line is open.
Toshiya Hari : Hi, thank you so much for taking the question. I just had one question for you, Kris. Given the content dynamics of the largest customer, I'm curious if you plan on making any permanent changes to the manufacturing footprint of the company and how to think about gross margins going forward as part of that. And then similarly for OpEx, I know you are guiding OpEx to grow in the near-term, but any intent or any plans to adjust to the new backdrop, if you will? Thank you.
Kris Sennesael : Yes. No, that's a series of good questions there, and I will try to address them one by one. First of all, as it relates to CapEx, we are currently operating the business with a lot less capital intensity. As you probably know, we have underutilization in our factories, and so we didn't have any capacity expansion CapEx in our plans. And obviously, now that we recently learned about the down selection for the upcoming phone, we do not have to add or subtract any of the CapEx. So the CapEx plan will remain on or about the same. As it relates to manufacturing footprint, we do not plan to make changes there. But of course, independent of what just recently happened, we will always continue to evaluate our overall manufacturing footprint and make the necessary adjustments if and where we can. As it relates to the gross margin, I've talked before about gross margin, and there is basically three major drivers for gross margin improvement. First is revenue growth that translate into better factory utilization. Second, its operational efficiencies and cost reductions in our internal factories as well as throughout the supply chain and working with our suppliers. And then thirdly, it's a mixed tailwind as broke markets grows faster than mobile and broke markets has above average gross margin. Obviously, here with the latest information revenue growth is going to be challenged. And so we are going to remain with underutilization in our factories for a little bit longer then we initially anticipated. And so that is not going to help in gross margin improvement. But of course, we are going to continue and actually double down on trying to find operational efficiencies in our factories as we deal with this situation. And thirdly, the gross margin tailwind from broad markets is actually going to blow stronger as broad markets is going to become a bigger part of the overall business. And then maybe last on operating expenses we will of course, continue to manage our operating expenses like we've always have done at Skyworks. We run a very tight ship here. But we have already, as I indicated also, we've already started for many months, the development of new products, a whole new suite of products in support of our large customer more products than ever before, right, addressing more opportunities than ever before. And obviously, we are going to continue with those developments that position us well to capture more content in the next-generation form that's expected to be launched in 2026. In addition to that, and we've talked a little bit about that in the prepared remarks. Our broad markets business is back to year-over-year growth. We expect that year-over-year growth to accelerate and improve over time and we see plenty of growth opportunities based on secular growth engines. And of course, we need to continue to invest into the growth of our broad markets as well. Having said all of that, we understand that the setback on revenue will require a deep dive, and we will, as a management team, continue to look at every opportunity to limit the OpEx spending. Obviously, there will be an adjustment to the variable compensation as we will not hit the targets that we set for ourselves and we will continue to look at any opportunity to further decrease or discretionary spending.
Operator: Thank you. Our next question coming from the line of Peter Peng with JPMorgan. Your line is now open.
Peter Peng : Hi, thanks for taking my question. I think just bigger picture. I think for like two years in a row, you've lost some content not because of your technology positioning, but your relationship. How are you thinking about your relationship with that customer longer term? And does this kind of put you into a more diversification – [saw your] (ph) diversification strategy even faster?
Kris Sennesael : No, we are not changing the strategy here. I mean, again, we've been working with that customer for 18 years. We've built a very strong relationship. That relationship remains intact. Obviously, the last couple of years has been challenging, right, in part because the competition has been intensifying in part because of the multiyear baseband or modem transition, which has created some turbulence amongst the RF players. But we continue to collaborate very strongly with that customer. And as I said before, we are developing more parts than ever before addressing more opportunities than ever before, in part because we've been asked by that customer to go do that. And so we definitely will continue that relationship. Having said that, [diversification] (ph) and focusing on broad markets has always been part of the strategy, and that will of course, remain the case. We like our broad markets business -- it's a very diverse business addressing multiple end markets from consumer to enterprise, to infrastructure, networking and cloud and industrial and automotive markets. We have some key technologies and product offerings in those markets with strong customer relationships and of course, we will continue to invest in that market and drive growth. As I said before, we think our broad markets business should be growing double-digits, more than 10% year-over-year, and that's the target, and we will continue to invest and support that business.
Peter Peng : Got it. And then on the Android space, what was the revenue number for the quarter? I think last quarter it was somewhere in that $75 million. Do you think that we are at a stable level and we can grow from those levels?
Kris Sennesael: That is correct. It was in December quarter, flat sequentially. And as you know, the Android segment is Google, Samsung and China there is seasonality in that business. And sometimes it is offsetting seasonality, but there is definitely seasonality in that business as well. We continue to have a strong relationship with Google. We have already won substantial design wins for the -- for next year and the year after. And so I think we are well-positioned there. And then as well, as it relates to Samsung and China, we will remain selective. But there is design win momentum that starts turning into revenue. And we do believe that we can grow our Android business, as a whole this year and the year after and beyond.
Operator: Thank you. And our next question coming from the line up Timothy Arcuri with UBS. Your line is open.
Unidentified Analyst: Good afternoon. This is [indiscernible] on for Tim. Thanks for taking our question. And Kris, maybe just first on your largest customer. I was hoping you could speak to competitive dynamics there in the sense and more specifically, do you see this dual-sourcing strategy potentially reverse in future bonds?
Kris Sennesael : So at a large customer, you win because you have the best performance parts. That's the rule. And so if there is only one supplier, obviously, that supply will win the business. If there are two or more suppliers, but one supplier has a substantially better part than anybody else, that supplier can get all the business, if there are two or three suppliers, and they are tight in terms of performance, the customer could decide to do outsource that, especially on the larger, more expensive parts. And I think that's a reality and we have to acknowledge that and face that. And so it's up to us and the team to, again continue to strengthen our technology road maps to develop high-performance parts and sockets that are better than our competitors. We -- again, we have the teams in place. We have the R&D resources and the strength and the capabilities in place but we need to focus on execution and get those best performance parts in front of our customer. Again, in the one particular socket that is causing some pain here, we developed a really high-performance part that is as good as our competitors part. But it wasn't necessarily much better. As a result of that, the customer decided to dual source it.
Unidentified Analyst: Got it. Very helpful. And then maybe just a housekeeping item. If you could just tell us what the percentage of your largest customer was this quarter? Thank you.
Kris Sennesael : Yes. In the December quarter, the largest customer was 72% of total revenue, which was up 9% sequentially, as we supported that customer with the ramp of their current phone. Also, again, I want to reiterate that, right, that revenue with a large customer is not just on the phone, roughly 85%. It fluctuates a little bit from quarter-to-quarter, but roughly 85% of that revenue is related to the phone. The other 15% is related to all other products that, that customer has out in the market.
Operator: Thank you. And our next question coming from the line of Vivek Arya with Bank of America. Your line is now open.
Liam Pharr: Hi. This is Liam Pharr on behalf of Vivek Arya. Thank you for taking my question. I wanted to focus on China. With the competitor sort of exiting that market, what is your longer-term strategy for China? And if you could how do you expect tariffs to come into play to the inventory in the overall market? Thank you.
Kris Sennesael : Right. So with China and Samsung, we are remaining selective. We have a long-standing relationship with those customers, but many years ago, we've decided not to compete for their mid or low end of their products, but we compete for sockets with them and the high end of the market. That's where they need us or our competitors, right? That's what they need high-performance RF, and we see opportunities there. As I said before, we are getting some design win momentum that is starting to ramp up in revenue, and we will continue to do that on a selective basis.
Liam Pharr: Thank you. And just as a follow-up, looking forward to June, how are you looking at seasonality and how you are seeing it kind of shape out in its first half. Thank you.
Kris Sennesael : Yes. So we only guide one quarter at a time, but I don't see anything different right now than normal seasonality in our business.
Operator: Thank you. And our next question coming from the line of Kris Sankar with TD Cowen.
Unidentified Analyst: Hi guys. This is Eddie for Kris. Thanks for taking my question. It sounds like your competitor has improved the performance of their product meaningfully this year, which pushed your main customer to dual source. But I wonder if you can quantify where the performance gap stands today between your product and that competitor's product? And how that compares to last year? And I wonder if you can share any metrics or technical specifications that we can follow that would give us an idea how that gap is developing going forward between you guys and your main tier. Thank you.
Kris Sennesael : Right. So again, we can't really go into the specifics at that detailed level as it relates to our large customer. And performance is being measured on 5 or 10 different parameters and so this would become a very technical discussion. But I want to go back to the beginning of your question, it's not that our competitor improved a lot their performance of their part. That competitor in the past has not competed for that product, and it was the first year that, that competitor competed for that product. And so that's the dynamic there.
Unidentified Analyst : Got it. Thank you.
Operator: Thank you. And our next question coming from the line of Nick Doyle with Needham. Your line is now open.
Nicholas Doyle : Thanks for taking my questions. Broad markets should see improving growth next quarter, and it sounds like that's driven by the large customer and WiFi, where inventory is more aligned, do you have any indication of how long inventory headwinds will slow the industrial and infrastructure piece? When can it reach that double-digit growth year-over-year that you discussed? Thanks.
Kris Sennesael : Yes. That's a very good question. But unfortunately, visibility is not that great. I mean, I'm listening to all my peers and competitors that have huge exposure to industrial and infrastructure markets there as well. And it seemed -- we all struggle a little bit with lack of visibility there. And part of that is because there is persistent excess inventory at the customer level where we don't really have good visibility. But now the inventory and the distribution channel is clean has been cleared out, but there is still inventory at the customer level. Again, for Skyworks, that is not the biggest part of our broad markets, right? We're a much bigger player in our connected IoT devices, which is roughly 40% to 45% of the business. Our automotive business, which is roughly 20-or-so percent of our broad markets business. And so we have less exposure on some of those markets where there is still, unfortunately some persistent inventory correction.
Nicholas Doyle : Thank you. And can you expand on the socket or anything around the type of 5G premium Android content that you won? Maybe how big is the combined opportunity, any timing? Thank you.
Kris Sennesael : Sorry, the 5G, can you repeat that?
Nicholas Doyle : Yes, the kind of the first point in your press release talked about a 5G premium Android content win.
Kris Sennesael : Yes. Well, I mean, again, we've -- in Android, we continue to be selective we have design wins, including with Samsung in the Galaxy and as well as many of their other products and that will continue going forward.
Operator: Thank you. And ladies and gentlemen, that concludes today's question-and-answer session. I'll now turn the call back over to Mr. Sennesael for any closing comments.
Kris Sennesael : Yes. I would like to thank everybody for your participation at today's call, and I'm looking forward to talk to you together with Raji and Phil at upcoming investor meetings. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. We thank you for your participation. You may now disconnect.